Operator: Good afternoon, ladies and gentlemen. Welcome to the Dream Unlimited Corp First Quarter Conference Call for Wednesday, May 15, 2024. During this call, management of Dream Unlimited Corp may make statements containing forward-looking information within the meaning of applicable securities legislation. Forward-looking information is based on a number of assumptions and is subject to a number of risks and uncertainties, many of which are beyond Dream Unlimited Corp's control that could cause actual results to differ materially from those that are disclosed in or implied by such forward-looking information. Additional information about these assumptions and risks and uncertainties is contained in Dream Unlimited Corp's filings with securities regulators, including its latest annual information form and MD&A. These filings are also available on Dream Unlimited Corp's Web site at www.dream.ca. Later in the presentation, we will have a question-and-answer session [Operator Instructions]. Your host for today will be Mr. Michael Cooper, CRO of Dream Unlimited Corp. Mr. Cooper, please go ahead.
Michael Cooper: Thank you operator. And good afternoon, everyone. Today, I'm here with Meaghan Peloso, who is the CFO of Dream Unlimited. Meaghan took over the role 45 days ago. We've got a great start to getting our plans in effect. For the purpose of this call, Meaghan and I are very focused on how we can communicate what's happening in the business in a clear way despite the requirements of the audit and financial statements. So we are using the supplementary information package. I think we are going to make some changes to it going forward and make it even easier. But a lot has been changing in Dream. And the way I think about it is, there are three main businesses, the three main drivers are Western Canada activities, development activities, income properties, which is growing and our asset management business, which is growing. But those three areas, they are effectively 90% of the whole business. And I'm going to go through some detail in Western Canada and a little bit about our income properties, but for the most part in a little bit. But I think we are seeing a surprising amount of strength in Western Canada, not just for this year but a lot of things that we're seeing happening is going to be great for future years to come. In income properties, we added a bunch of properties last year that were completed. We are adding a bunch of properties this year that will be completed. We also are in pre-development on some apartments and retail, and I think that's going to grow faster than people expect. And those income properties a lot of them are Western Canada, but also in Ottawa and Gatineau. So it's very exciting to see that. And I think there the special thing with income properties we are developing on some of our lands and we keep the properties. So we get a fair value gain for the work we do, then we get income for that year. The next year it goes up but often we have another building fitters. We keep adding buildings and the recurring income from our own developments is really adding up to a meaningful amount. On the asset management side, it's been going pretty good. We did a large transaction last year that was completed in the first quarter. But since then we've added a fair amount of money under management and we expect that, while it may be a little bit unpredictable, our asset management business will continue to grow. With that, I'll go into details later on about some other things, but I'm just going to hand it over to Meaghan to address you.
Meaghan Peloso: Thank you, Michael. And good afternoon, everyone. In the first quarter, we recognized pretax earnings on a standalone basis of $5.4 million, up from $4.6 million in the comparative period, which was largely driven by improved performance at A-Basin and lower interest expense from reduced drawings on the operating line. FFO for the quarter was $0.98 per share, up significantly from prior year largely due to Western Canada JV sales in the period, which I'll further describe in a minute. More specifically, on a segmented basis, in Q1, our recurring income segment generated revenue and NOI of $51 million and $25 million respectively, up from $49 million and $21 million in 2023. The increase was primarily driven by our two highest income months at A-Basin in February and March, as well as higher income contribution from the distillery district. Now included in revenue for the first quarter is $13 million relating to our asset management and development contracts, which is down slightly from 2023 mainly due to the volume of transactional activity in the prior year. As it relates to the development segment, revenue and net margin for the period was $43.9 million and negative $6.7 million respectively compared to $13.5 million or negative $4.3 million in the comparative period. Included in revenue figures in the first quarter was occupancy income of nearly $24 million from Ivy Condos, Brightwater and Phase 2 of Riverside Square. Now if you recall, Ivy Condos is a project that initially launched sales in 2017. Subsequent to launching, the market saw significant cost escalation. And while we anticipate a limited margin, we chose to continue the project to be fair to purchasers. We expect to close on the project and repay the construction debt this month. On the Western Canada front, including development earnings for the quarter, were lot and acre sales of 23 and 11 respectively. The average selling price per lot increased relative to prior year largely driven by our sales mix, which included lots at Alpine Park. And while not included in consolidated earnings for the period but included in our standalone FFO metric with margin of $28.1 million from the sale of 146 acres in Edmonton to two development JVs. For accounting purposes, we expect to recognize the related revenue and margin in the Q2 of this year. As of today and excluding the Edmonton JVs, we have commitments for an additional 370 lots and 106 acres through 2025, representing $162 million in revenue. $123 million of which will be recognized over the remainder of this year. This is the highest level of presale volume, which we've seen in Western Canada to date. We continue to maintain very strong liquidity over the quarter, ending the period with $320 million in total liquidity and a conservative leverage position of 38% on a standalone basis. And with that, I'll turn the call back over to Michael.
Michael Cooper: Thanks, Meaghan. So we had a pretty strong first quarter in the company and I think that's going to continue. I wanted to cover a couple of things. In Western Canada, we are seeing some very strong sales in Alpine Park, which is a site that we've held since 1997, although, we've grown it from 320 acres to what was a one time, 1,815 acres is now well under development. It's an exciting community. We are seeing lots of traffic. In April, we had the second highest number of sales to owners through all our builders and it's got great momentum. So I don't know if you remember, but we said before that we started with 787 single family lots and we are now through most of those. We have got a little bit about a quarter of them left and that's been a successful launch of the project. We did them because they used the leased front ending. Last fall, we agreed to invest $93 million to open up the next 200 acres. And the way we do it is we get pre-sales on the acres. So about 90% of the parcel sites have been pre-sold that's in our record pre-sales. We are also going to sell some lots when the time comes. But the most important part is, this new 200 acres is where the village is for the entire development. And there we've got about 51 acres we plan on keeping for ourselves and that's coming along quite well. We expect to build some retail and a lot of residential there. And hopefully, by the end of the year, we'll start working on that. We have a 70,000 square foot retail site, standalone retail site there. We're about 70% leased. We will get pretty exciting yield on cost for that and that will be added to our income properties when it's completed. This is the kinds of activities we're doing that are going to drive our income property revenue over time. We also hav,e within the apartments, it's apartments and retail in one site and we've done some -- we've got a lot of strong interest there. So hopefully by the end of the year, we'll get going on that as well. So that's pretty good. And I think we said before that on this 200 acres, we expect to make about $118 million of margin over the next four or five years. And if we end up building some of the land ourselves, we'll have another $100 million. So out of these 200 acres, we could end up with $220 million, $120 million in the next five years or so from developing the land and maybe the other $100 million over the next couple of years. So these are major movers. Now after we developed these 200 acres, we're not even halfway done on the east side and we're less than 20% done of our whole holding. So we've got a long life to make a lot of money building this new community. And we're very pleased that we won a National Home Builders Award for Best Growing Community in Canada for Alpine Park. We also won an award for Best New Community and it was in Edmonton, and this is McCain Homebuilding Association. So it's gratifying to see that the work that our team is doing is getting recognized as finest in the country. So congratulations to the team. But Alpine Park is going to be -- it's just gaining momentum and I think it's been very strong for a long time. And on its own, it's a significant part of our entire land holdings. We are building in Edmonton, that's going quite well and we're getting good numbers out of it. And we're building in Regina and that's going pretty good too. But the other major community we have is in Saskatoon. We had originally 3,200 acres of land. We are down to 2,700. 3,200 acres of land sounded like an endless amount of land that we could never get through. The first community we’ve already used up over 400 acres. We are expecting to start the next neighborhood, which is the Homewood Suburban community and that has more retail space. It has some institutional use. It has some single family. But it also has quite a bit of higher density residential, which is something we've been building a lot of. What I thought was interesting was of the 3,200 acres we're down about 2,700 now. In the new 1,200 acres, the Saskatchewan Governor announced in their budget that they are going ahead with building a Catholic high school, a Catholic elementary school, a public high school, a public elementary school, plus the school boards together with the [Indiscernible] are going to build a big community center for about $50 million. This total complex will be on 35 acres and it's going to be -- the 35 acres is land they're going to buy from us or park reserve, and they're going to have about in excess of 3,500 students. We think this is going to drive the population of this area maybe by 7,000 or 10,000 people. And this will be a launch of the new community. I mentioned the new community, which is Homewood Suburban Center has a fair amount of retail. So we're just starting to map it out. Next year, we're going to go and get commitments. But we already have a lot of incoming from people who want to buy 10 or 30 acres at a time. So I think next year we may find ourselves with very significant pre-sales in the Homewood Suburban community that will drive our profits more than we expected. The school is a huge commitment and it's happening, as we speak. And I think we're going to go through the land in Homewood area quicker than we expected and that's going to result in profits that are probably higher and we'll get them sooner. So it's a big deal. But one of the things where our Western Canada development and our income properties meet is we started to build apartments in Western Canada. And in Brighton, we now have two finished, we're doing the next one. And basically the math is we make about $4 million for each building. The total development costs are about $22 million. It's really $2 million for land and $20 million of development. We think we get closer to 30% IRR for the development phase and over a 20% IRR if we hold for 10 years. But to put it a different way, we probably keep about $800,000 a year in income from each one of these buildings. We also build some townhouses so it probably gets closer to $1 million. And if we do it one every year, every year we make the $4 million or $5 million of profit and then we make about $1 million a year every year thereafter. But the second year, we also make $5 million from the next one plus we make $1 million a year forever. Just in a very small area that overlaps the end of the Brighton community and the beginning of the Homewood community. We have land for 12 apartment buildings and about 360 townhouses, almost 2,000 units in total and we're about 30% of the way through that. But this is going to be very well supported by the school, because there could be a lot of demand for rentals. The school is about a five minute walk from where these apartments are. And these 12 apartments, they'll add about $12 million a year in net income and about $48 million to $60 million of profit. The $10 million is annual and it will be growing as rents go up. So we're starting to see our plan on the apartments really coming together and resulting in earnings and scale. So altogether, we're talking about maybe 2,000 units of apartments just in that little area and then we have townhouses as well that are renting and we've got some single family homes. So this part of our business is very exciting. It pencils out to really good yields day one. The rents are strong, the demand is strong. So I think we're going to try to grow it as much as we can. And all of this gets added as it's completed to our income property portfolio. So we expect that we'll be able to add $150 million a year or so of completed income properties. And our income property business is going to continue to grow. It's very consistent, it's recurring income and it's growing income. What we just are about to finalize another 17,000 square foot lease was pretty much makes the Brighton shopping center completely full. But there's always opportunity to do smaller retail in different parts that are driven by the need of the community as we actually build something out for 60,000 to 80,000 people. So both -- what we're doing in Saskatoon and in Calgary, those two developments are huge part of our whole development business. They're both have long lifespans to go. They're both going to create lots of income properties and lots of profits from development. And we expect that we're going to continue to make way more money in Western Canada than we did between 2014 and 2020. So to be blunt, it does feel like the dime is returning to what it was like between 2003 and 2013 when Western Canada did a lot to contribute to the growth of the company. Our income properties, as I said earlier, at Zibi, we're finishing some properties. We got the funding from the federal government for Brighton. We're working on some others. But overall, our income property portfolio is growing. And then in our asset management business, it's going quite well since the closing of the Summit purchase. We've probably grown our assets by another $1 billion. We're managing it. We're getting good return on the assets under management. And I think we've got good relationships with our investors and we are pursuing and catching some reasonable new asset management initiatives. And we expect that while that business will grow in a lumpy fashion, we do expect it to grow. So those three areas of business, that's 90% of the company's value, 90% of the income and it's growing quite quickly. So we're really quite excited about how the company is positioned for the future. We think we'll be generating a fair amount of income, a fair amount of cash. And we're going to be using that generally to continue to make the company more liquid, safer, and we'll continue to grow the income. Okay. We'd be happy to answer questions. But before we take them from individuals on the phone, we got some by e-mail. One is about a special dividend. In the last conference call, I said that we've been tending to look at doing a special dividend for about 25% of the proceeds of extraordinary gains. I think we're still planning on doing that. A-Basin is under contract. There's still some regulatory hurdles to get to the closing, but we'll deal with whether or not we issue a special dividend after that, but we think it's quite likely. There's been a lot of talk about capital gains inclusion rates in Canada. I just want to let everybody know that with A-Basin, it is in the United States, in Colorado, we're subject to a 20% income tax and federal income tax and 5% state tax. So our tax rate will be about 25%. In the US for corporations, it's 100% conclusion. I think for individuals in different circumstances, there's lower capital gains rate. But prior to the change in law, in Canada, the capital gains rate would have been about 13%. Afterwards, it's about 17% or 18%. But when A-Basin closes, we'll have to pay 25%. We get a credit against the income otherwise do. So the changes in Canadian capital gains tax has no effect on the proceeds that we will be receiving on the sale of A-Basin. So those are the two questions we got by e-mail. If anybody has any questions, please feel free to ask them now.
Operator: [Operator Instructions] Our first question is from Mark Rothschild with Canaccord Genuity.
Mark Rothschild: Michael, you've been getting more active in the company in rental apartment development over the past few years. Do you anticipate that you see a scenario where you would also be more active in, whether it's commercial development, office and industrial, there's been retail as well, or is that going to be left to whether it's Dream Office or Dream Industrial, which are affiliated companies?
Michael Cooper: So we're doing a lot of apartments for sure. But we're also building retail as part of our communities, and it's not insignificant. So those are the two areas we're focused on. In Saskatoon, in some of those commercial lands, it's not all retail. There's some industrial. We haven't even started to look at it yet. We're building a lot across Canada in the industrial REIT. So if there's a good opportunity, we would look at it. But we haven't even thought about it yet. I think right now, we're focused on the residential and the retail that's necessary for the community. Does that help?
Mark Rothschild: That does help. And maybe just following up on the first question that you answered from the e-mail as far as a special dividend. You've spoken quite a bit about having more liquidity in the company. And with the sale of land in Western Canada and the ski resorts, the company’s -- correct me if I'm wrong, have more liquidity than it's ever had by a significant amount. Does this exceed what you would like to have as far as liquidity? And what other areas could you -- should we think about as uses of the capital? Is it just investing more in development, would it be is buying back share is something that's just less of a focus right now?
Michael Cooper: On December 10, 2019, we received the funds from the sale of Dream Global and in our Sunroom at home, I've got the liquidity update framed and it was $510 million. So we are not at the highest ever. Just a [Multiple Speakers]. Look, there's a couple of things that are happening. One is we definitely are driving for more liquidity. I think every model we have at the company going forward, we expect to continually increase liquidity. So I think that we're still driving to do that. The special dividend, after the special dividend, if we do one, there will still be a lot of liquidity. And we think we'll be able to increase the liquidity in each year subsequently. We don't think that that's at the exclusion of anything new. We would look at buying back some stock. We bought back, I think, 600,000 shares in the last 12 months. We might continue to do that. That's not an insignificant amount of the float. And I would say, though, when we look at making new investments, we will be -- we'll have a pretty high borrow-on returns. So we're being very selective. Part of it is because we're putting a high premium on our liquidity. The other part is we actually have a ton of activity within our existing business. And if we just focus on making the most of what we currently own, the company is going to be incredible. So all it says is if you're about to invest money into something new, you should expect that it should have a meaningful improvement to the expectations for the company. And right now, that's a pretty high bar to pass.
Operator: [Operator Instructions] The next question is from Sam Damiani with TD Cowen.
Sam Damiani: First question for me, I guess, is just with the real sort of resurgence in Western Canada, lots of opportunity to harvest some gains and build up the income pretty rapidly here. It's pretty exciting. With that cash flow, is there any thought to reinvesting in more land, or do you feel that there's more than enough to keep the company kind of content even with the accelerated pace of absorption?
Michael Cooper: Well, we actually have a small piece of land under contract right now. And it's an example of where you might find us buying more land. It's in the province area and it's really a significant piece for us to connect our Eastern holdings to our Western holdings. So that as the land gets built out, we're more in control of being able to bring on our huge holdings in the West. So I don't think we're going to be looking for more land to have [Indiscernible] inventory, but we're trying to do a great job and really control our own destiny. So where we find that additional land will be of strategic importance, we will buy it.
Sam Damiani: And just back to Saskatoon, with the schools and the community center, I know I'm sure it's still not still kind of up in there a bit. But is there sort of time line on the completion sort of years of those four schools and the community center, just to get a handle on the pace of establishment of that new community at Homewood?
Michael Cooper: So this is the school board in the City of Saskatoon that's doing it. We're working very closely with them. I'll give you information that I Googled that's available publicly. And if you Google Homewood schools or something like that, you can find Saskatoon. I think what they're saying is I hope to be ready for '26, '27. But even if they don't make it for then, and it’s '27, '28, there's going to be a lot happening on the site. Everybody knows is coming and the business will continue to pick up until and after it's open. So in a way, we're getting the effects of it now.
Sam Damiani: Last one for me is just on the asset management fees. Meaghan, you did mention a little bit down year-over-year, sort of lack of transaction activity. What are your thoughts on how that plays out for the balance of 2024?
Meaghan Peloso: I think that the run rate from a base fee perspective that we disclosed should be fairly consistent from a base fee perspective go forward.
Michael Cooper: Yes, the reason why it's down this year over last is last year we had a couple of onetime items in the first quarter. If you take that out, it's going up consistently. So for the balance of the year, we expect that we will have higher fee income than we did last year. We've actually added about $0.5 billion of industrial assets and we've grown some other areas. And I think some of the things that we're working on will hit and we'll get some lumpy additions to assets under management, which will grow that income further.
Sam Damiani: And if I could sneak in one last. I think in the disclosures, it talks about round about 400 lots, I guess, committed for sale this year. Is that your expectation as to how 2024 will shape up, or you’re just looking at something closer to 500 or more as in past years?
Michael Cooper: Yes, I think it's higher than that. I don't have it in front of me, but that sounds too low. I'm just looking it up now. Yes, I don't think -- just give me a second, please. I think it’d be between 400 and 500, yes [Multiple Speakers] to date, it will be higher -- I think it should be around 500. We'll follow up later.
Operator: This concludes the question-and-answer session. I'd like to turn the conference back over to Mr. Cooper for any closing remarks.
Michael Cooper: Thank you, everybody. Just to save a call, Sam, I think the number is between 500 and 600, not between 400 and 500 for lots that we expect to sell this year. Thank you, everybody, for your interest. We're going to try to make it easier and easier on our investors and analysts to follow the company. And I appreciate you guys continue to call in and listen to us, and feel free to call Meaghan and me. Thanks a lot.
Operator: This brings to a close today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.